Operator: Welcome to the Second Quarter Year-End Investors Conference Call. Today's call is being recorded. Legal counsel requires us to advise that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the Company's annual information form as filed with the Canadian Securities Administrators and in the Company's Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, July 31, 2018. And at this time, for opening remarks and introductions, I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator, good morning, everyone and thanks for joining us for our second quarter conference call. As mentioned, I'm Jay Hennick, Chairman and Chief Executive Officer; and with me is John Friedrichsen, Chief Financial Officer. This morning's conference call is being webcast and is available in the Investor Relations section of our website. A presentation slide deck is also available to accompanying today's call. Earlier today, Colliers' reported strong financial results for the second quarter, a combination of solid internal growth and acquisitions. Revenues were up 14%, adjusted EBITDA up 15%, and adjusted earnings per share increased 23% over the prior year. Year-to-date, revenues were up 16%, adjusted EBITDA up 15%, and adjusted earnings per share also up 23% over the comparable period. During the quarter we completed three acquisitions, all in North America. We added company-owned operations in Pittsburgh and Winnipeg, and we acquired the dominant market player in commercial real estate and the inter-mountain region of Utah and then we rebranded it as Colliers. This strategy of adding significant market players, particularly in new geographic regions where we can partner with the leadership teams has been a tremendous growth opportunity for Colliers; not only does it help us expand and diversify our growing platform, it brings a host of high quality professionals with important client relationships to our global business. Just after the quarter end, we closed on our strategic investment in Harrison Street real estate, one of the largest investment management firms dedicated to education, healthcare and storage. I'll have more to say about Harrison Street and our new investment management platform once John has completed his financial review. After the quarter end, we also added one of Denmark's leading capital market specialists and merged it with our existing full service operations establishing Colliers International as the undisputed leader in commercial real estate in Denmark, fortifying and expanding our operations by integrating top tier leaders in different specialties has been another growth strategy that has paid off handsomely for our Company. Earlier this year, we did the same thing in Spain doubling the size of our operations there by merging with a significant local market player and bringing together a group of professionals that is second to none. Just after quarter end we also announced that we had streamlined our business in Finland, we sold the residential property management business that we acquired as part of a larger business earlier this year. While we like the business and obviously understood it completely, we chose to focus on our core of providing property management and brokerage services to owners and occupiers of commercial real estate. So, in addition to generating healthy internal growth for the first half of the year we also added about $225 million at annualized revenues through acquisition and we still have the balance of the year left to go. Based on our results to-date and our business pipelines and the acquisitions we've already completed, we're optimistic that 2018 will be another record year for Colliers. Now let me turn things over to John for his financial highlights. I'll then return to provide an overview of our new investment management platform, and then we'll open things up for questions. John?
John Friedrichsen: Thank you, Jay. As announced earlier today and highlighted by Jay in his opening remarks, Colliers International Group reported strong solid financial results for our second quarter of 2018 with solid contributions from our operations across our global platform. My comments will be tailored to address or Q2 regional results, capital deployment, as well as our financial capacity and outlook for 2018, and we'll follow the flow of the slides posted on our website by the company in this call. Please note, that my comments may reference non-GAAP measures such as adjusted EBITDA, and adjusted EPS, both of which are outlined in our press release issued today, as well as the accompany slide deck, and are composed primarily of non-cash charges that we view as largely unrelated to our operating results for the quarter. References to revenue growth, including internal growth, are calculated based on local currency. Finally, both our second quarter 2018 and comparative second quarter 2017 results reflect the adoption of the new revenue recognition standards under U.S. GAAP. Our second quarter revenues of $667 million were up 11% over the prior year and comprised of $186 million in sales brokerage, up 5% while lease brokerage generated revenues of $222 million, up 21% dipping strong year-over-year growth across all regions. Revenues from outsourcing and advisory services totaled $260 million, up 8% but by solid growth in property management and in our appraisal and consulting services. The more recurring revenues generated by our outsourcing and advisory services segment represented 39% of our overall revenues in the quarter comparable to Q2 of last year. Consolidated adjusted EBITDA was $69.4 million compared to $60.3 million with our margin at 10.4% versus 10.3% in the prior year quarter. Both revenues and adjusted EBITDA remained well diversified in Q2 with a little change compared to Q2 of 2017 as both internal growth and acquisitions have contributed favorably to a strong balanced global platform. Quarterly revenues in the Americas totaled $389 million, up 11% with 11% internal growth and the balance from acquisitions. Lease brokerage revenue growth of 22% led the way and were driven by strong internal growth, particularly in the U.S. West region and in Canada; meanwhile sales broke revenues were up more modest 3% a quarter. Outsourcing and advisory revenues were up 6% led by robust growth across all outsourcing and advisory service lines in our Canadian operations. Adjusted EBITDA came in at $36.2 million versus $32.9 million last year than 9.3% margin down 20 basis points compared to last year. Turning to EMEA, revenues of $150 million in the quarter increased 15% with 1% internal growth which was impacted by timing of transactions and reduced activity in our workplace solutions services in France. Sales brokerage revenues were up 34% over last year led by strong internal growth in Germany, Netherlands and France. Lease brokerage revenues were up 18% with strong internal growth led by our operations in the U.K., Denmark, Poland and Russia. Meanwhile, revenues from outsourcing and advisory services increased 5%, contributions from acquisition related growth offset by a decline in our workplace solutions services revenues in France, we reorient our operations to more sizeable and profitable project activities going forward. Adjusted EBITDA for the region was $21.5 million compared to $17.5 million last year, at 14.3% margin, down slightly compared to last year. And finally, in our Asia Pacific region, revenues came in at $129 million, up 6% with 2% internal growth in the balance from acquisitions. Lease brokerage revenues were up 17% led by strong internal growth in China, Hong Kong, Australia and New Zealand, both sale brokerage revenues contract to 10% with lower activity in Australia and Hong Kong none of which is timing related and opposite the strong Q2 of last year. Revenues generated by our outsourcing and advisory services were up 15% led by strong growth in consulting and appraisal in revenues in Australia, China and Hong Kong, as well as strong gains in property management I think in [ph] India, and a robust increase in project management revenues in Australia and China with acquisitions contributing to the latter. Adjusted EBITDA was $15.4 million, up from $12.7 million last year with our margin up 120 basis points at 11.9% versus 10.7% as we continue to build additional scale in Asia. Moving to our capital deployment and balance sheet; in our second quarter for 2018 capital expenditures totaled $7.8 million, down from $13.8 million last year normalizing from an elevated spend in Q2 of last year. We do expect a higher level of spend at the back half of the year such that for the full year 2018 we expect to invest about $40 million in total CapEx across our operations. Turning to acquisitions, we invested $19 million in acquisition activities during the quarter, converted $28 million in Q2 of last year, of course the big news on the investment front was the Harrison Street transactions which we announced in Q2, the close in early Q3 along with another acquisition in Denmark creating a market leading business for Colliers in this important Nordic market. As we previously announced in Q2, we fortified our debt capital structure by increasing our revolving credit facility to $1 billion, more favorable pricing, and extending it's term to April of 2023. After completing this in mid-April, we augmented our revolving credit facility with a €210 million issue of 10-year senior notes at a very attractive long-term fixed interest rate of 2.23% providing a natural foreign exchange hedge on our euro denominated cash flows. Our net position stood at $316 million at the end of the quarter compared to $304 million at the end of Q2 of last year with our leverage ratio expressed as net debt to adjusted EBITDA at 1.2x compared to 1.3x at the end of the prior year quarter. Pro forma for Harrison Street and Denmark acquisitions completed after quarter end, our financial leverage stood at 2.4x, still well within our lender covenants of 3.5x. In terms of our financial capacity with cash on-hand and committed availability under our revolver, had $820 million of liquidity at quarter end and adjusted for the investment in Harrison Street completed after quarter end, $370 million of liquidity, a level sufficient to fund operations and other capital investments including acquisitions under our growth strategy. Looking across our global operations our pipeline in most markets can seem to reflect solid commercial real estate activity comparing favorably to levels at this time last year. With generally stable economic conditions and modest growth, accompanied by low interest rates based on historical parameters and a supportive lending environment, the key elements remain in place to support steady activity in sales, leasing and other commercial real estate services with the balance of 2018. As a result our 2018 outlook for Colliers' existing business, excluding our new investment management platform has been adjusted for acquisitions completed to-date but otherwise remains largely unchanged, including our expectations for low to mid-single digit percentage internal growth in local currency revenues, plus mid-single digit percentage growth in local currency revenues from acquisitions. And an adjusted EBITDA margin improvement of 30 basis points to 40 basis points compared to 2017. Separately for the balance of 2018, we expect Harrison Street to generate revenues in the $50 million to $55 million, adjusted EBITDA margins of 35% to 40%, and non-controlling interest share of earnings of 25%, and significant intangible asset amortization which will be expensed under our U.S. GAAP. On a consolidated basis we estimated tax rate in the 30% to 32% range and a mid-teen to 20% growth full year adjusted EPS compared to 2017 inclusive of the impact from our investment in Harrison Street. That concludes my prepared remarks and I would now like to turn our call back over to Jay.
Jay Hennick: Thank you, John. As mentioned, we've now completed our transformational investment in Harrison Street and we did that at beginning of this quarter. The acquisition established Colliers as one of the top players in global real estate investment management, provides us with an important new platform for growth and facilitates the integration of our existing investment management operations in Europe. Harrison Street is a pioneer in demographic-based investing focused exclusively in education, healthcare and storage. These are massive investible markets that won't change with the changes in the economy. Perhaps most importantly though, Harrison Street has a proven track record of performance and best-in-class returns over a long period of time. Today they manage about $15.6 billion in assets under management and it does that for 245 of the world's most respected investors. Colliers acquired 75% of Harrison Street with the balance of the equity retained by management. Our entrepreneurial culture and performance driven business model aligned perfectly with the team at Harrison Street who will continue to operate the business as our partners. Beginning with the third quarter, we will update our reporting to separately disclose our new investment management platform; it will initially comprise the results of Harrison Street as well as our existing European investment management business. Together the segment will have annual recurring revenues of between $115 million and $130 million, EBITDA margins between 35% and 40%, and a total of more than $20 billion of assets under management. During the first full year we expect this division to contribute about 15% of our overall EBITDA. Industry dynamic show strong potential for the investment management sector with almost $2 trillion invested in real estate in 2017 and more than 80% of investors pulled expecting to maintain or increase their investment allocations during 2018 and beyond. The opportunity to leverage our combined track records, enterprising cultures and focus on best-in-class results will accelerate our growth both internally and through acquisition. And by capitalizing on Colliers global brand, platform of operations in 69 countries, significant financial resources, and deep client relationships among many others; we expect to accelerate our success even further. The addition of Harrison Street fits perfectly with our strategy of building Colliers into the best advisory business in our industry with a focus on enterprising differentiated professional services delivered to clients wherever they choose to do business. While size and scale is always important and we surely have that, our strategic priority continues to be creating a professional services leader that attracts the best clients and the very best real estate professionals to Colliers without diluting execution by introducing a variety of non-core services. With that, I'd like to open things up for questions. Operator, please open things up if you would.
Operator: [Operator Instructions] Your first question comes from the line of Frederic Bastien of Raymond James. Your line is open.
Frederic Bastien: Guys, you mentioned some particularly strong momentum in leasing brokerage across many of your regions but more modest growth on the sale side. Are you expecting continuing of these trends into the second half?
Jay Hennick: I think our pipelines reflect strong activity and certainly on the leasing side as well as sales, and I would say that there were some timing related issues as are often are related to sales transactions which impacted Q2 but we expect to realize those in Q3 and Q4 but across the board I would say in both areas we see strong activity and pipelines.
Frederic Bastien: You also mentioned the West Coast of the U.S. seeing very strong momentum on the leasing side there; is this a result of some of the acquisition and transactions you made and those investments finally bearing fruit or is it more -- is there more to that?
Jay Hennick: I wouldn't say there is a whole lot more to it other than what you said and as you will recall a year ago we did acquire the Northern California Nevada Colliers's affiliate, we've integrated that into our operation and it's created a much more robust business for us in the U.S. West Coast, so that's important. As well, you know the U.S. West; it's certainly a very robust economy including the tech sector and other businesses that continue to grow. So, I think by being situated there we're seeing some of that and it's impacted favorably our results in the U.S.
Frederic Bastien: Just wondering if you have any views on the Cushman and Wakefield business and the IPO it's pursuing?
Jay Hennick: We wish them tremendous luck and hope that their offering is very successful.
Operator: Your next question comes from the line of Steven MacLeod of BMO Capital Markets.
Stephen MacLeod: Just on the EMEA region, I just wanted to ask about the margin here. I would have expected maybe margins to be a bit stronger with lower outsourcing in advisory revenues; so I'm just curious what you're seeing on the margin side there? And then I guess in terms of activity what you're seeing by major region in Europe?
Jay Hennick: Well, you're right; the margin has been impacted by ongoing investments and people in that business as we have spoken off before. It's one of our key areas for developing our business across Europe in major markets in particular and we've continued to make those investments. So though the revenue related to those investments lacks the investment timing, so we expect that later in the year and certainly into 2019 those investments and people to become more productive and generate returns. So that's impacted our results there. I did mention our workplace solutions business in France which we are reorganizing and rearranging towards larger and more profitable contract, so we're suffering a little bit from the impact of that which actually is the best thing to do for the long-term health-led business and we're confident we're going to be able to achieve our objectives later in the year but in the Q2 and possibly in Q3 it's negatively impacted the overall margin.
Stephen MacLeod: And what are some of the initiatives you're undertaking in the workplace solutions at France? Can you just elaborate on what's actually happening there?
Jay Hennick: It's really really trying to better focus again on a larger projects, projects that generally are more profitable as opposed to many many projects which tend to be somewhat inefficient; and we're kind of reevaluating the way we deliver our services in that market including the headcount -- the personnel that we have in place, a lot of it is very good but there needs to be some fine tuning done and that's what we're doing now.
Stephen MacLeod: And then just turning to Harrison which obviously is a very [indiscernible] acquisition for you; can you just talk a little bit about -- you gave some color around the EBITDA margin for 2018 of roughly 35% to 40% as well as a revenue run rate -- can you just talk a little bit about how you expect that to evolve when we get into 2019 and beyond? What are your expectations for ongoing AUM growth and how do you expect the EBITDA margin to evolve over the next couple of years?
Jay Hennick: Look, we have bought an exceptionally well-run business with a team that has demonstrated track record of success in investing in these important areas that are defensive categories of real estate really, and we expect them to continue to flourish certainly within Colliers and leverage both -- what they bring to the table and serves their relationship and track record in what Colliers offer. So, we expect the business to grow significantly; I don't really want to put a fine point on what that growth looks like but needless to say, their success in ongoing fund raising and deployment and investment is continuing, and we expect that to be very significant going forward. Let me add a couple of things to that. So first of all, they have a commanding position in North America, principally the U.S., not much in Canada. And they have a nice smaller business in the U.K. and the rest of Europe but the appetite for what Harrison Street does and it's chosen areas of focus is massive, and so they're seeing a lot of traction, both on the deal opportunity side as well as the fund raising side in Europe which we always thought is a big opportunity for us and we're currently investigating -- integrating our European operations in with Harrison Street because obviously although they have a much -- our existing operations have a much wider net in terms of the various different categories, they have deep relationships with those that wish to allocate capital, particularly in Harrison Street's areas of focus. So you're going to have to give us a little bit of time to integrate this thing well, the teams are hard at work and trying to capitalize on some early opportunities we saw in bringing the two organizations together but suffice it to say, we're excited about the quality of the business, the ability for it to scale, it was one of the top -- I forget the exact number, but in the Top 20 fundraisers last year globally; so they've got lots of great support from their investor universe, and what they have to do is they have to find the high quality transactions that the investors are looking for. So, I think we need a little bit more time to integrate this thing and to get our mids around the puts and takes but early returns are very positive.
Operator: Your next question comes from the line of Steven Sheldon of William Blair.
Stephen Sheldon: First, on Harrison Street, I know you're keeping it somewhat separate operationally but just curious how trends there have been since the acquisition announcement in terms of retaining both key talent and AUM? And then secondarily, any thoughts on whether you want to continue expanding more into the IM business and whether that will be an area of increased investment for you?
Jay Hennick: Since we announced the transaction, the AUM has gone up almost $1 billion, so I think that's proof-positive that that's been positive -- investors have been very positively predisposed. We are very excited about the existing management team who under our partnership philosophy among other things will have a much deeper vested interest in the business and the long-term success of the business than they did as a private company, so we're excited about that, the phones have been ringing at Harrison Street from others in the industry that would like to come over and join what we're building there. So, I believe we've got the right mix of both, history and forward momentum to make a difference long-term. In terms of acquisitions, we truly see this as the next growth engine for Colliers, not only does Harrison Street itself have very interesting opportunities to grow and scale it's business that it was unable to do as a private company; we also see other very differentiated potential opportunities for us and an underlying focused and differentiated because that has been in many ways the key to Harrison Street success. But you know, we're going to follow one step at a time approach as we always do, we're going to dedicate our efforts in the early months to integrating this thing well and to get the flow between the Harrison Street leadership team and our leadership team working well, and the leverage points between Colliers globally and Harrison Street working well. So it's not easy, but it's somewhat easy to make an acquisition, it's a hell of a lot harder to integrate it well and it does take a lot of time and effort.
Stephen Sheldon: Got it. Very helpful. And I believe one of the potential benefits of Harrison Street is the opportunity to build better relationships and maybe attract some more brokers within the education, health care and storage sector here in North America. I realize it's still very early here with the closing earlier this month, but have you seen any early indications that may be support the view that could happen over time?
Jay Hennick: Yes. I mean, interesting happenstance is that we had two very strong practice groups, 1 in seniors housing and 1 in student housing. So both of those teams have engaged already with Harrison Street. There has been others in the industry that have had a history with Harrison Street in sourcing acquisitions or selling assets that have approached us to join these practice groups. But again, it'll take time to execute on those things.
Stephen Sheldon: Got it. And then, I guess, a couple of modeling questions. What metrics are you planning to provide for the IM segment? And specifically, will you give quarterly kind of AUM detail? And then also any detail on the revenue and adjusted EBITDA contribution from the European IM business, just so we know how much to essentially reclassify out of the EMEA segment?
John Friedrichsen: Yes. I mean, we're still determining what metrics we're going to be providing. But certainly, AUM would be an important metric to go along with the usual financial revenue profitability metrics. So that absolutely will be out there. And we're going to select those metrics that are meaningful and we think are going to provide investors with good information to track the ongoing progress of the business. So that's the -- I guess, the main focus for the time being.
Stephen Sheldon: And for the European IM business?
John Friedrichsen: It's relatively small at this point. So we will provide all of the comparatives and restate the comparatives to ensure that you can track comparability back on a stand-alone basis for the last -- certainly the last year, whether or not we go back in terms of more quarters. But the bottom line is that it's a very, very small part of the business today and not material. But we'll provide that information.
Operator: Your next question comes from the line of Michael Smith of RBC Capital Markets.
Michael Smith: And again, on Harrison Street, so the -- you've added $1 billion of AUM since you announced the deal. Is it fair to assume that was in the open-ended funds?
John Friedrichsen: No. It's not fair to assume that. It's probably -- and I don't know the exact amount, but it's generally 50-50.
Michael Smith: 50-50?
Jay Hennick: Yes. I would assume 50-50 for your purposes.
Michael Smith: Okay. And Jay, you mentioned that one of the opportunities -- and again, I realize it's early stages of expanding that business is through focused, I guess, real estate. So is that -- does that mean like niche real estate kind of like the medical office, that kind of thing, student housing would be that type of thing as opposed to, let's say, office retail, industrial that kind of thing?
Jay Hennick: Well, I don't want to foreclose the others because there's a lot of leverage possibilities with those others, but medical office, student housing, seniors housing, affordable housing, even muleteers [ph] are massive, massive investable categories. And so the reason I raised it is that we don't want to be all things to all people. We want to be very focused in specific areas, where not only can we buy assets well, but we can also gain expertise in managing those assets that can bring enhanced yield to our clients, whether it's through sustainability, whether it's through leveraging their combined buying power in a particular area. And as you know, we have experience in doing that in residential property management among other things. So we're very focused on how do we enhance the existing, what we hope is a good yield on, say, student housing, with additional leverage points that we bring because of our scale, size or expertise.
Michael Smith: Okay. And for some of those, let's say, newer areas that you may go into in the future, would you envision potentially doing tuck-under acquisitions in that platform?
Jay Hennick: Yes. For sure. I mean, that's for sure an avenue of growth. And for us, we can scale that a lot faster using the strength of Harrison Street and our European business for that matter.
Michael Smith: Okay. And are you planning on co-branding Harrison Street?
Jay Hennick: It's been discussed. I think we're going to get through fiscal '18 and visit it early in '19. There's a lots -- lot of puts and takes around that. But one of the benefits of utilizing Colliers is it is an institutionally known brand all around the world. And it may help by co-branding it. And again, I'm probably going on too long about this, but it may help modestly in the U.S., but it will help major league in Europe, in Asia, in Australia, New Zealand because the brand is so powerful there. So we'll have to balance all of those things.
Michael Smith: Sure. That makes sense. And just on your leverage. So pro forma, you're at 2.4x debt to EBITDA. Can you remind us where do you think you'll end up at the end -- let's say, by the end of 2019?
John Friedrichsen: Yes. You mean 2019?
Michael Smith: Yes. I think last quarter -- last call, you mentioned you planned -- you had a plan for the next year or so to get that leverage down.
John Friedrichsen: Yes. I mean, look, it comes down to -- a lot of it comes down to the acquisition pipeline. And with a modest tuck-under strategy, which would not include anything significant by the end of 2019, we would expect to be debt deleverage down about 1x at the end of the year. So that would include modest amount of tuck-under acquisition activity consistent with what we've done in the past and then ongoing cash flow generation from the business, we would delever down about 1x.
Michael Smith: Okay. So down to about 1.4x?
John Friedrichsen: Yes. And that's for end of 2019 you asked, right?
Michael Smith: Yes. Okay. And just lastly on Asia-Pacific, so you had a nice bump in margins from -- to 11.9% from 10.7%, even though your Sales Brokerage revenue went down. I know you've made a bunch of investments there in prior years. I'm wondering if you could just give us some color on that margin.
Jay Hennick: Yes. Look, I mean, the -- we've been going through some build in Asia, which you're probably aware of. We talked about it in the past, changed out our executive team and that has brought in a number of new people over the last several years. We have the Japan expansion as well. So all of these things are coming together now and we're getting some additional scale in Asia, better productivity. And as a result, we're seeing some margin improvement; that also included in Asia-Pacific region an uptick in our margin, New Zealand as well, which had underperformed in the prior quarter. So we benefited a little bit from that as well.
Operator: Your next question comes from the line of Mitch Germain of JMP Securities.
Mitchell Germain: Jay, I know you guys streamlined some of your operations in Finland. And I'm curious are there any other regions where you have a similar opportunity to do that?
Jay Hennick: You know, there is a little bit of work going on in France as John talked about but Finland was -- for us, obvious, and given our knowledge of residential property management, it really did hurt for us to sell a great business that generated great profitability, we did it at a very good price for us and reduced our overall cost of the Finland acquisition but it really helped refine our focus into the area that we operate and that was the principal reason. But across the board we have been very disciplined around what we're into and what we're not into, as you know and as we've discussed historically with you in the past; we believe we want to be a high quality professional services firm that focuses on high-end advisory work and less on other services that may be recurring but are really different businesses and are sold differently etcetera. So, I guess in a long way the answer to your question is other than Finland and perhaps a bit in France, the answer is no.
Mitchell Germain: Great. And then when you factor in outsourcing a 15% of EBITDA, I think you're around a third, a third, a third in terms you three major segments today; is that kind of -- it seems like you obviously want to make some -- maybe future investments in investment management but are you somewhat comfortable with that kind of revised business mix going forward for the next couple years?
Jay Hennick: We like our business mix but with investment management it actually -- it's an interesting one because you're talking about revenue breakdown but if you look at EBITDA breakdown which is where the recurring revenue number really really grows, you're talking about a much larger percentage of our business now recurring in nature given the reccurability of -- and the size of the EBITDA of the investment management platform.
Operator: Your next question comes from the line of Marc Riddick of Sidoti.
Marc Riddick: So you covered a lot of things around Harrison Street, I really appreciate the color and information on that. I just wanted to shift over a little bit just sort to get maybe a latest update or thoughts on some of the business activity in the major markets if you're seeing anything that's kind of shifted or changed that's kind of caught your eye? And also some thoughts around the progress of growth in second tier markets as well? Thank you.
Jay Hennick: I might add one or two things; I mean -- it's becoming clearer I think to us that investment -- that investment sales is slowing relative to obviously leasing as you've been seeing leasing was up significantly across the board, there is a lot of people, institutions, corporations, REITs, etcetera that are buying assets and holding them for a longer period than they have historically which is bringing down the overall velocity of investment sales; and so it's nice to be able to have a full service platform where you can provide a variety of different services to your clients. So I would say that that would be the first thing, I'm seeing people holding real estate longer and less trading and better quality real estate than has been historically.
John Friedrichsen: I would just add -- you were asking about secondary markets and that continues to be a focus of ours and I think we're seeing ongoing improvements and activity in what people would characterize as secondary markets and I think that's a natural outcome of the kind of economy that we're in. The ongoing kind of slower growth but growth oriented economy is -- I think bringing greater confidence to real estate investors, obviously some markets our way have become overpriced and naturally based on a strong economic backdrop, investors and other occupiers are looking at secondary markets as opportunities or additional investments. So we're seeing that activity and not surprising, so we continue to focus on those markets, they are very important to us, obviously the major markets are critical to our growth but these important secondary markets which themselves are in some cases being reinvented in growing our important areas for our business.
Jay Hennick: I just want to jump on what John said; one of the things that we have done successfully and because it's been a key part of our strategy is to dominate in secondary markets and I haven't done the math recently but with Salt Lake City, and Winnipeg, and Denmark, and Finland, and now Spain; markets that some would consider to be by and large secondary markets and we are already dominated Detroit, and Kansas City, and the list goes on. Colliers has methodically over the past number of years established themselves as market leaders in every one of these secondary markets I think at the expense of others who are focusing on other things; and so that has always been a key component of our strategy. And as investors are looking for real estate assets and secondary markets -- when Colliers has a 60% market share in Salt Lake City or 55% market share in Kansas City or whatever market share in Denmark, we really have the box covered and if you want to do business in those markets Colliers is the place to be.
Marc Riddick: One other follow-up; I wanted to go back to the comment you made about the polled investors, about 80% of them looking to -- I guess maintain or grow the spending for the remainder of the year and beyond. I wanted to get a sense of it -- is it fair to them then characterize that as representing an increase of real estate as a percentage of their assets that you're hearing from and whether that represents an opportunity for greater exposure for those clients? Thank you.
Jay Hennick: There is no question allocations are going up in real estate in all sectors whether it's direct investing or directing or investing indirectly through firms like Harrison Street.
Operator: Your next question comes from line of Steven MacLeod of BMO Capital Markets.
Stephen MacLeod: I just had a quick follow-up question. John, when you were talking about the 2018 existing business outlook; I just wanted to confirm do you expect margins to be up 20 to 30 basis points or I thought I heard 30 to 40 basis points.
John Friedrichsen: 20 to 30.
Jay Hennick: Sorry, and I said 30 to 40, it's 20 to 30 on the existing business. So, I mean obviously the Harrison Street acquisition will be incremental overall but just staying with the existing business 20 to 30 in terms of increase in EBITDA margin.
Stephen MacLeod: And then, just -- when you think about Harrison versus the European business, is it safe to assume that the European business is roughly $10 million of incremental revenue at the midpoint?
John Friedrichsen: I think that's probably okay.
Jay Hennick: We'll give you the exact numbers in the next quarter, but probably that's little higher, maybe.
Operator: There are no further questions in the queue. I turn the call back over to the presenters.
Jay Hennick: Okay, thank you very much everyone for joining us; exciting times, lots going on, and we look forward to another strong quarter in Q3. So thanks for joining us, have a good next quarter.
Operator: Ladies and gentlemen, this concludes the quarterly investor's conference call. Thank you for your participation and have a nice day.